Operator: Greetings. Welcome to the Hudson Technologies First Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. A questions-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Jen Belodeau of IMS Investor Relations. You may begin.
Jen Belodeau: Thank you. Good evening and welcome to our conference call to discuss Hudson Technologies' financial results for the first quarter 2025. On the call today are Brian Coleman, President and Chief Executive Officer; Brian Bertaux, Chief Financial Officer and Kate Houghton, Hudson's Senior Vice President, Sales and Marketing. I'll now take a moment to read the Safe Harbor statement. During the course of this conference call, we will make certain forward-looking statements. All statements that address expectations, opinions or predictions about the future are forward-looking statements. Although they reflect our current expectations and are based on our best view of the industry and of our businesses as we see them today, they are not guarantees of future performance. Please understand that these statements involve a number of risks and assumptions and since these elements can change and, in certain cases, are not within our control, we would ask that you consider and interpret them in that light. We urge you to review Hudson's most recent Form 10-K and other subsequent SEC filings for a discussion of the principal risks and uncertainties that affect our business and our performance and of the factors that could cause our actual results to differ materially. With that out of the way, I will turn the call over to Brian Coleman. Go ahead, Brian.
Brian Coleman: Good evening and thank you for joining us. We are pleased to have started 2025 with slightly improved sales volume in the first quarter, which is a promising start to this year's nine-month selling season. That said, we did see a revenue decline as expected in the quarter to $55.3 million with gross margin of 22% reflecting continued lower overall refrigerant market pricing as compared to the first quarter of last year, which offset our sales volume gains. First quarter 2025 refrigerant pricing declined slightly as compared to the fourth quarter of 2024. And this year's first quarter pricing was approximately 40% lower than the first quarter of 2024. We also saw continued momentum in the refrigerant recovery activities that supply our reclamation business, which resulted in increased reclaim volume during the first quarter. Last year's strategic acquisition of USA refrigerants has strengthened our capabilities and our reach around the purchasing of recovered refrigerant. We are focused on continuing to improve our purchasing presence in the marketplace. In addition, much of the volume gain in the quarter came from the USA acquisition. Finally, as expected, we saw orders related to our DLA contract at levels consistent with last year's first quarter. At the close of the first quarter, pricing for certain HFCs was still under $6 per pound. But since the close of the quarter, we've seen price increase to over $6 a pound. As I mentioned on the previous quarterly calls, when we discuss HFC pricing, we're generally focused on the price of HFC 410A, which represents about 70% of the total aftermarket demand for HFCs. I'm sure I don't have to point out that the macroeconomic environment is quite volatile. Currently, tariff costs are beginning to affect our supply side costs for both virgin refrigerants and cylinders. The industry, including Hudson, has begun to pass these higher costs through the distribution chain. As a result, and at this moment, we believe our 2025 gross margin will be closer to the mid-20s, improving slightly from our first-quarter margin performance. With the many fluctuations in tariffs, the current situation is creating uncertainty, both for our costs and for our prices to our customers. We are also seeing supply-side disruption for the next-generation refrigerants associated with the AMAX Technology Transition Rule. The Technology Transition Rule mandates that cooling systems, manufactured starting January 1, 2025, and moving forward, can no longer use certain higher-GWP HFC refrigerants, such as 410A, and will need to use lower-GWP refrigerants like 454B and 32. The market demand for these new lower-GWP refrigerants is currently exceeding production volumes, but we believe additional production capacity has been added, and production should balance out with demand by the latter part of this cooling season. The tariff situation has also resulted in higher costs for new refrigerants and for the moment, those costs are also being passed-through the distribution chain. We are in the early stages of this year's cooling system, but we are seeing some shortages impact conversions to lower-GWP refrigerants and new system installations. I want to take a minute to discuss the change in the administration and its potential impact on the EPA. For the moment, it appears staff associated with administering the AIM Act, are in place. We do believe the EPA intends to examine the many regulations in place, including a review of the final rulemakings associated with the AIM Act, which would then include the refrigerant management rule. That said, we are early in the EPA's evaluation process. So, we, along with others in our industry, are actively communicating with the EPA and members of Congress. Lastly, during the quarter, we further strengthened our unlevered balance sheet and ended the quarter with $81 million in cash and no debt. We remain focused on the priorities of our capital allocation strategy, including investing in organic growth, pursuing acquisition opportunities that will strengthen our capabilities or geographic reach, and the opportunistic repurchase of our stock. To-date, in 2025, we have repurchased $4.5 million of common stock under our stock buyback plan. Now, I'll introduce Kate Houghton, Senior Vice President of Sales and Marketing, to provide some additional detail around Hudson's market opportunity. Please go ahead, Kate.
Kate Houghton: Thank you, Brian, and good evening, everyone. We are in the early days of the cooling season, as most areas in the Midwest and Northeast are seeing relatively cool spring temperatures. But we are encouraged by the modest sales volume growth we experienced in the quarter. As temperatures begin to rise in those geographies which is typically late-May or early-June, we will have better visibility of the supply-demand landscape. As we've noticed previously, it takes the first couple of hot days for people to turn on their units and become aware of a problem, which then leads to a service call and the need for refrigerant. When those activities begin to take place this season, we'll have a better view of whether upstream inventories have been depleted or remain at the elevated levels we saw last year. As we begin to move to the heart of the cooling season, we will stay focused on the elements of our business that we can control. First, ensuring that our customers have the right refrigerants where and when they need them; and second, promoting recovery and reclamation activities as our industry transitions to lower-GWP equipment and refrigerants. Hudson is well-positioned with a proven distribution network and long-standing supplier and customer relationships to effectively supply the market with all types of refrigerants, from legacy CFCs and HCFCs through HFCs to HFO low-GWP refrigerants. We believe the current phase down of HFC refrigerants provides a substantial long-term opportunity for the continued growth of our reclamation business, as the supply of virgin HFCs begins to decline to meet the needs of the large installed base of HFC equipment. This equipment typically has a useful life of approximately 20 years, so the demand trajectory for HFC is expected to be lengthy. In addition to the AIM ACT, which mandates the phase down of HFCs, several states are beginning to implement requirements for the use of reclaim refrigerants in their municipal buildings, creating an additional demand opportunity for reclaim refrigerants. We believe these mandates provide an opportunity for contractors to abandon the practice of venting refrigerants as they more fully understand that they will need reclaim refrigerants to be able to serve their customers who will increasingly encounter reclaim mandates. Hudson is committed to elevating the importance of responsible life cycle refrigerant management through our promotion of field recovery practices throughout the industry. We are actively involved in the training and education of technicians by participating at HVACR industry events and by addressing technician training sessions hosted by our customers. During the first quarter, Hudson attended and/or spoke at HVAC Excellence, ACCA and Lennox Live, among others. Our efforts have expanded our recognition as a reclaimed partner and improved our access to recovered refrigerant. We're pleased with our team's ability to execute on the things we can control to perform better than the overall market. We remain committed to meeting the needs of our customer base through refrigerant sales, equipment servicing and through our reclamation capabilities. Our industry's ongoing evolution to lower GWP equipment and refrigerants can at times present a challenging landscape for our customers, and Hudson is here to ease that transition. Now, I'll turn the call over to Brian Bertaux, our CFO, to review our first quarter financial results. Go ahead, Brian.
Brian Bertaux: Thank you, Kate, and good evening, everybody. I'll now review our first quarter 2025 financial results with a comparison to the first quarter 2024 results. Hudson recorded $55.3 million in revenue, a 15% decrease compared to the 2024 quarter. Increased sales volume was more than offset by lower refrigerant market prices. Revenue from the company's DLA contract was consistent with the historical mid-$30 million annualized run rate. Gross margin was 22% compared to 33% in the 2024 quarter due to lower refrigerant market prices. Gross margin in the quarter came in slightly below our full year 2025 gross margin expectation of mid-20%. SG&A was $8.2 million, slightly above the $7.9 million recognized in the 2024 quarter. The $9.9 million decline in revenue in the first quarter essentially dropped to our operating income. We recorded operating income of $3.1 million, a $9.7 million decrease compared to $12.8 million in the 2024 quarter. Hudson recorded net income of $2.8 million or $0.06 per diluted share, compared to net income of $9.6 million or $0.20 per diluted share in the 2024 quarter. The company strengthened its unlevered balance sheet ending the first quarter with $81 million in cash and no debt. Our capital allocation strategy remains focused on organic and strategic growth as well as share repurchases. We repurchased $1.8 million of company stock during the first quarter of 2025. As of today's call, we have repurchased a total of $4.5 million during 2025. I will now turn the call back over to Brian.
Brian Coleman: Thank you, Brian. Overall, we're pleased with the start to the 2025 and are committed to controlling what we can deliver a successful cooling season with, as mentioned earlier, a focus on two main elements; ensuring that our customers have the right refrigerants where and when they need them and promoting recovery and reclamation activities as our industry transitions to lower GDP equipment and refrigerants. We remain optimistic that our industry's continuing transition represents a tremendous long-term growth opportunity for Hudson as we leverage our leadership position as a refrigerant and service provider and increase our capabilities around recovery and reclamation. Operator, we'll now open the call to questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Ryan Sigdahl with Craig-Hallum. Please proceed.
Ryan Sigdahl: Hi Brian, Brian, Kate. I want to start with pricing. Good to hear after several years of declines, we've found some stability and actually see some price increases and hearing that. Curious your perspective on what's actually driving that? Is it entirely tariff-driven and higher landed cost? Or are there other dynamics that you want to call out? And then do you think this is just a temporary spike? Or are you hearing kind of from an industry standpoint that this is more of the start potentially of stability and maybe prices moving higher?
Brian Coleman: So there's 2 parts to the question that I think we have some degree of certainty and one not quite yet. So the first is, there have been disruptions in the supply chain, which generally does result in higher prices. And certainly, the tariffs, whether they be on steel or on goods that could be coming from either China or India, they have added costs to the equation. Where we don't have certainty at the moment because we're too early in the cooling season is where inventories -- when we talk about inventories, we always use that word stockpile inventories upstream are in total compared to the overall demand. We'll start to get indications about that as we get into the warmer weather, typically late May into June. That will help us understand the permanency possibly of the pricing that we're seeing today versus reaction to some of the other matters. But for the moment, we're certainly seeing stability and price increases.
Ryan Sigdahl: Helpful. Moving over to -- you mentioned inflation and challenges with cylinders. Shouldn't that be an advantage for you? It sounds like, it's going to pressure gross margins. But my understanding was you guys have a large fleet of reusable cylinders. So I would have thought that was an opportunity. But can you help clarify, I guess, where the margin pressure is going to come from and the cylinder shortage and from an industry standpoint, how that directly impacts Hudson and your competitive positioning?
Brian Coleman: So Hudson probably does have many advantages over others in the industry since we do distribute quite a lot of refrigerants in reusable steel. Where the challenges come into play are now some of the cylinders need left-handed threaded valves to handle the A2L refrigerants. And generally, nothing to do with tariffs per se, but generally, valve manufacturers have longer lead times. So that causes just an element of disruption in a normal course. But also now, as it relates to disposable cylinders or cylinders that are in the smaller size, one way, one use, because we're converting to A2L, it appears that the demand again is greater than forecasted for that steel, and that causes some supply disruptions. And certainly, wherever the manufacturers are sourcing that raw steel from could affect their costs relative to countries and tariffs associated with that.
Ryan Sigdahl: Are you seeing any benefit to reclamation from tariffs, from cylinders, from inflation, from everything we're talking about from a macro standpoint. I guess, is this changing behavior or any accelerant to the reclamation business that you're seeing?
Brian Coleman : So we did report that reclaim volumes in Q1 are up. And certainly, that's a good sign. We don't normally talk about reclaim volumes and growth until the end of the year, but we're certainly trending at a similar growth rate, if maybe not better as we did last year. And we are expecting to continue to see reclaim growth irrespective of tariffs and so on down the line because of our educational efforts, because of our partnering efforts, because of the circular relationship we're trying to create with all of our customers that you really need to recover gas if you want to have availability of supply or try to say another way, in disruptive markets, we're always going to support our reclaim customers with supplies of refrigerant. So I'd say that the growth in reclaim -- well, again, Q1 is a slow quarter. So the percentage certainly is double-digit, but it's off of a low number or a slower quarter number relative to Q2 and Q3, particularly. At the end of the day, I think it's the combination of our efforts that really are beginning to get contractors to do the recoveries. And generally, once they start to do a recovery and convert from vending, they stick with it because they realize it is easier than they originally thought.
Ryan Sigdahl: Very good. Thanks guys. Good luck.
Operator: The next question is from Austin Moeller with Canaccord. Please proceed.
Austin Moeller: Hi. Good afternoon. Just my first question, have imports of refrigerants through Mexico been impacted in any way due to tariffs? Or are allowances unchanged due to USMCA adherence?
Brian Coleman: It sounds like there might be two parts to your question. So any importer in the United States needs to have an allowance or called a consumption allowance. And so I would think there is limited production capacity in Mexico. And therefore, as a result of that limitation, although there is some production capacity in Mexico, the overall impact to the market is likely more impacted by the tariffs in India, which you probably know were originally 3%. I think they went to like 26%. Now they're back down to, I think, 13%. So there's been volatility there. And there's always been very, very high tariffs on the Chinese goods, and now they're even higher with the new Chinese tariffs.
Austin Moeller: Okay. And what are you hearing from some of your distribution partners about the cooler weather experienced in the Northeast in April?
Brian Coleman: Really for us, it isn't so much cooler weather in the Northeast. It's always, let's say, generally speaking, non-air conditioning weather up until sometime in May. And we certainly like to see it get warm Chicago, New York, et cetera, somewhere around Memorial Day. And if that's the case, generally speaking, you're going to have a very good cooling season or demand will be normal relative to any other year. So the current weather doesn't really bother us. Sometimes you get cooler weather in places like Texas and Florida that could affect Q1 a little bit. But at the end of the day, in the North and Northeast, we really don't worry about weather until May.
Austin Moeller: Great. I’ll pass it back there. Thank you.
Operator: The next question comes from Josh Nichols with B. Riley Securities. Please proceed.
Q – Unidentified Analyst: Hi. This is Matthew on for Josh Nichols. Thanks for taking my questions.
Brian Coleman: Good evening.
Q – Unidentified Analyst: Hi. So last call, you mentioned the DLA contract did around $36 million in sales for 2024 and that it will start trending normally to normal purchasing levels for 2025. How you see that cadence trending now that we're almost halfway through the year?
Brian Coleman: Yes. I noted on my part of the call that we expect DLA to hit about that same level, mid-35s in 2025.
Q – Unidentified Analyst: Got it. Helpful. And in terms of capital allocation plans, now that you're almost halfway through the $10 million that was approved for buybacks, what are those plans this year?
Brian Coleman: Well, we'll continue to proceed opportunistically through the $10 million, and we'll determine our options then, but we're going to stay the course. We have $5.2 million left or $5.5 million left to go.
Q – Unidentified Analyst: Right. Got it. Thanks. And just last quick one. It looks like there's been substantial drops in inventory in your inventory in the past couple of quarters. How do you see that trending for the rest of the year? And where is sort of that normalized level?
Brian Coleman: We believe we're approaching the normalized level.
Q – Unidentified Analyst: All right. Thanks for taking my questions. That’s all I have.
Brian Coleman: Thank you.
Operator: [Operator Instructions] Okay. We have no further questions in the queue. I'd like the floor back to management for any closing remarks. 
Brian Coleman: Thank you, operator. I'd like to thank our employees for their continued support and dedication to our business and both our long-time shareholders and those that recently joined us for their support. We look forward to speaking with you after the second quarter results. Have a good night, everybody.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.